Operator: Good day, and welcome to the Manitex International Incorporated First Quarter 2016 Results Conference Call. Today’s conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to David Langevin, Chairman and CEO. Please go ahead, sir.
David Langevin: Thank you, Melisa. Good afternoon, everyone and thank you for your interest in Manitex International. On the call with me today is Andrew Rooke, our President and COO. Please see our website or our release for replay instructions for this call, which will be available until May 12, 2016. Now please refer to the first slide regarding our Safe Harbor statement. We ask that you review this statement and also refer to our SEC filings for further guidance on the many risk associated with our company. I will start with a brief overview, followed by a quick review of our results by Andrew, and then we will welcome any questions. Let’s begin with Slide number 3. Our results for this quarter reflect continued progress for our company in many respects in spite of the markets. Our reported gross margin percentage for the quarter of 18% is very good considering market conditions and is a reflection of our organization controlling what we can control and executing on our cost reduction goals, which we outlined over a year ago. At that time we stated our goals will be to reduce our cost by $4 million in 2015 and $15 million over three years. Our actual savings last year was $5.1 million and our actual first quarter savings for this year was $2.2 million. for a total in 15 months was $7.3 million. Further we believe we believe what we seeing an increasing cost savings rest of this year and are striving to significantly exceed our stated goal of $15 million over three years. We also reported today EBITDA in the quarter of $6.5 million. Historically our EBITDA has been in the range of 7.5% to 9.5% of sales. We believe with the acquisitions we've made and as we optimize our business portfolio along with the return of the markets we serve, our EBITDA margins can grow even higher to the 10% to 12% range of sales. Another important position for our company during these challenging markets is to work on improving our balance sheet and most particularly our debt ratios. We reported today that our working capital debt went up in the first quarter; however, this increase is reflected in the $23 million increase in receivables from $63 million at the end of the year to $86 million at the end of the quarter. Much of this increase will be collected in the second quarter. Further in the all important management of working capital, our inventory was virtually flat for the quarter during a period of solid increase in sales. So we grew sales without growing much inventory. Assuming the second quarter is similar in sales to the first quarter, we should expect the second to reflect a nice cash flow from working capital changes as well as further cash flow from operations. Our stated goal for 2016 has reduced our overall debt by the same level that we did in 2015 or approximately $45 million for the year. Similar to 2015, this debt reduction for this year will come from three sources. One, working capital changes as we discussed above. Two, cash from operations and three, a combination of the strategic review of our subsidiaries and products to concentrate our business model and the products, which generate the greatest overall return to our shareholders. Another important point I would like to briefly touch upon is the current state of the markets where we participate. Most important market for our straight mast cranes is North America and while it's difficult to predict anything from a 90-day period, it dose seems and I stated in our release today that the order rate was increasingly slightly during the first quarter. Also and more probably more importantly, the knuckle crane market operating activity is improving for us in a North American market, as we steadily expand our presence in this very important market. Our team is concentrated on growing our footprint and we will spend a considerable amount of time and effort during the upcoming months to continue to expand on this momentum both on our home market and in the international arena. Andrew will specifically discuss our progress as it relates to the ASP joint venture. In summary, we’re off and running for 2016 and even though we did report positive earnings for the quarter during a period in which we believe will be may be at or nearly bottom the market cycle, we’re not satisfied with our results and we will strive to do better in the areas we can control. We are executing our goals as we reported today. We are focused on reducing our cost, expanding our markets and products, improving the quality of our balance sheet with a reduction in debt, which we believe will have a positive impact on our company's leverage risk and provide a significant improvement in our shareholders equity value. With that brief overview, I would like to turn it over to Andrew.
Andrew Rooke: Thanks David and good afternoon and welcome everyone. Let’s start with market conditions on Slide 4. Quarter one of 2016 market conditions in North America continue to trend from the end of 2015 with very low demand for new straight mast and industrial cranes created by the downturn in the energy sector. As we noted before, this adversely affects purchases of our higher capacities straight mast cranes with above-average margins. The redeployments of equipment from energy markets, there is also a diverted demand from new equipment purchases whatsoever to a lower level during the first quarter of 2016. Overall, we estimate that in the first quarter of 2016, market shipments of higher capacity cranes and those with greater than 40 ton capacity were modestly below the average for 2015. Our estimate remains for the overhang of equipment to work it's way through the market during 2016 and that will translate into new crane demand from the other sectors of the economy such as residential and commercial construction and general highway and construction activity where it appears to be more positive trends. As previously stated on Knuckle Boom crane acquired through the PM acquisition in the first quarter of 2015, there is very little exposure to the energy sector and is a growing market as it increasingly gains will either acceptance for many applications particularly here in North America. With our international presence provided not only by export, but also from sales and distribution locations in 10 countries across the world, the Knuckle Boom product is benefitting from gradual improvements in several world economies. In the first quarter of 2016, Western, Eastern Europe and North America, were the strongest contributors for PM sales. In North America in the period since the acquisition, we’re focused on establishing a network of service and dealer support that will provide the foundation for expanding on Knuckle Boom crane presence. For our ASV segment, which is a reminder consists of compact truck loaders and skid steer loaders and is focused more on North America and Australasian construction, world demand is somewhat subdued coming into the year, we saw improvements later in the quarter. The market continued with a competitive pricing environment in North America and significant foreign exchange pressure from key Canadian and Australasian markets. We continue to emphasize the very strong product capabilities and differentiators of the ASV brand and are making good progress with reintroducing the ASV brand and establishing new distribution in previously unserved geographies. The expansion of ASV brand distribution has progressed well from a starting point of zero and over a 119 locations and now signed up and a 20% increase since the last report and we’re well on track for the targeted 100% increase in 2016. We’ve established dealers in many regions and now have approved dealers in Canada which is historically been the strong market for this equipment. In the first quarter, ASV branded product comprised more than 50% for machine shipments up from the 20% in the fourth quarter of 2015. Also relating to ASV June the first quarter of 2016 sales of under carriage was were approximately $5.3 million lower than the prior year period we showed a negative impact from both revenues and margins. In the first quarter of 2015, the customer purchased additional units in order accommodate changes to expedition charge - from a plant to plant shutdown which results in a much stronger comparable period. During the first quarter sales in material to material handling equipment under a long term contract of the U.S. Navy ramped up with shipments rather military contracts which benefited revenues and margins in the period. Market conditions can contain handling equipment from our CVS business remain positive and benefited from improving European economies and its domestic market in particular, revenues in the quarter were adversely impacted by the timing of some shipments at the end of the quarter. With regard to orders in our backlog that we ended the year, our continuing operations backlog were $78.6 million, a decrease of 4.8% from the $82.5 million that we entered the year with. The backlog is broader based and includes 22% of PM product and 13% of ASP product. For the first quarter of 2016, our booked orders ratio to sales or book-to-bill ratio increased to 96% compared to 91% for the fourth quarter of 2015. So moving onto the financial results on Slide five, we reported net income of $1.5 million or $0.09 a share compared to a loss of $0.2 million or $0.01 a share in the first quarter of 2015. I’m however going to concentrate on discussing the adjusted results in the quarter and the comparable periods which adjusts for the PM and ASV acquisitions and restricting and related costs incurred in the first quarter of 2015 and the benefit from the sale of a small terminal tractor product line in the first quarter of 2016. The adjustments in quarter one of 2016 reduces reported earnings and EPS by $1.2 million or $0.07 a share and the adjustment for quarter one of 2015 increases reported earnings by $1.7 million or $0.11 a share. Net revenues for the three months ended March 31, 0216 increased $1.4 million or 1.3% year-over-year and increased 9.5% from the fourth quarter of 2015. Compared to the first quarter 2015, lifting segment sales were up 5.3% from knuckle booms including the benefits of a full-quarter sale from PM in 2016 compared to the first quarter of 2015 when it was acquired and from moving to handling equipment offsetting reductions in straight mast and industrial cranes. ASV segment revenues were down $3.6 million with reduced crane sales offsetting a 9% increase in machine sales. Gross profit of $18.4 million or 18% of sales compared to $18.9 million or 18% of sales in quarter one of 2015 would improve from the 17.4% in the fourth quarter of 2015. There were some varying sales mix impacts in the quarter with price to mix from knuckle booms and military units helping to offset adverse mix in volume in ASV and straight mast and industrial crane products. Our cost reduction actions which I’ll discuss later also help to offset the volume mix effect. Adjusted net income for the quarter was $0.3 million or $0.02 a share compared to adjusted net income of $1.5 million or $0.10 a share in quarter one of 2015. EBITDA For the first quarter was $6.5 million or 6.3% of sales compared to $7.9 million or 7.8% of sales in the first quarter of 2015. Slide six is a bridge movement in sales in the adjusted net income for the first quarter of 2016 compared with the first quarter of 2015. On the adjusted income reconciliation, the sales volume reduction from the core crane business had an adverse mix offset much of the benefits from the revenue increase in knuckle booms and military equipment resulting in a gross margin decrease of $0.4 million. An increase in operating expenses of $0.8 million resulted from full quarter results from PM while underlying operating expenses increased $0.4 million mainly from R&D expenses principally for projects at PM and ASV. Other expense of $1.3 million derived from ForEx movements between the two periods where we recorded a gain in the first quarter of 2015 compared to charge for this year both related principally to movements in the Argentinean Peso, the benefit from taxes resulted from the lower adjusted net income for the period, effective tax rate for quarter one, 2016 was 26.6% compared to 21.6% for 2015. Slide seven shows our working capital increased from $82.7 million at December 31, 2015 to $88.6 million at March 31, 2016 principally from a $23 million increase in receivables from increased sales and the timing of sales in the quarter. Inventory after adjusting for the translation effect of currency reduced $1.2 million but was also adversely affected by the timing of some European shipments at the end of the quarter. We expect the working capital increase to be tempered, our current ratio of 1.7 times for the current quarter is consistent with last year adjusting for the working capital facilities in Italy that are reported in current liabilities, since these are transactional based, the current ratio would be two at the end of March and that December 2015. Slide eight provides a breakout of $183.1 million of total debt at March 31, 2016. Of the total debt $118.7 million is non-recourse to Manitex. Additionally in total $84 million is related to working capital financing is either transactional collateral based and the further $21 million is in the form of convertible notes. Also shown on the slide for reference is a total cash and availability of $28.5 million at March 31, 2016. Repayments on term debt of $6.7 million were made in the first quarter of 2016 including the full repayment of the U.S. recourse term debt originally taken for the PM acquisition. Slide nine shows our capitalization net debt from liquidity position with our net debt to capitalization ratio remaining relatively consistent in the quarter compared to December 31, 2015. Adjusted EBITDA for the quarter was $6.5 million and is $24.4 million on a 12 month trailing basis. I would now like to hand back to Melissa to open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Matt Koranda with Roth Capital Partners.
Matt Koranda: Good afternoon guys. Thanks for taking the questions.
David Langevin: Hi Matt.
Matt Koranda: I just wanted to start off with the AR and obviously you guys have called on nicely on prepared remarks here but just wanted to see because if you could provide a little bit more color into what drove AR higher towards the end of the quarter was it shipments going out of the end of the quarter or was there particular customer, was it that vary their ordering pattern and then just as a follow-on to that, how are you kind of stress testing for bad debt and looking at customers when you’re extending credit to your potentially the bottom of the cycle. Thanks.
David Langevin: Okay. Not so, what I mentioned in my remarks was that we’ve collected some of those obviously in the second quarter and it was really the shipments going out at the end of the quarter, we have not historically experienced, I can’t take anything as significant in bad debts during the Great Recession or in the current markets because obviously, we can always take back the equipment especially if it’s in North America, I’m not aware of any significant bad debts hitting our international operations as well.
Matt Koranda: Got it, okay that’s helpful and then just one of their question on ASV, I know I think Andrew had called out Undercarriage is providing a tougher comparison year-over-year but can you just talk about the impact that that has on margins and what the implications were during the quarter in terms of the margin impact of that and then how do you kind of see that recovering throughout the year?
David Langevin: Do you want to go ahead, Andrew?
Andrew Rooke: Yes from a margin perspective it is a good margin product for us and so it does obviously have an impact in the quarter just about $5 million of sales impacting the quarter from that and it did result indicated, the customer last year was pulling orders into the system for sales because they are having some plant shutdowns et cetera and they wanted to face things out slightly differently. So we see I think that the level of activity in that, that we got in the first quarter 2016 that should trend relatively closely to where we’ve been in the first quarter through the rest of the period as far as we can see at the movement.
Matt Koranda: Okay, got it. That’s helpful. On your cost savings plan maybe you could just provide a bit of color on where the bulk of that $2.2 million came from in cost savings in Q1 and obviously looks like you guys are definitely tracking ahead of the full year goals but where do you anticipate the remaining $3 million comes from in 2016?
David Langevin: Sure Matt, the cost savings last year that we mentioned $5.1 million was principally as we described materials, materially oriented service in our cost of goods sold in the raw materials which of course is the biggest component as you know, we are variable cost companies that we assemble, so the material is a large component of our cost of goods sold. That’s what we had tried last year. And as we mentioned in our annual call that we did a couple of weeks ago, we had to shift a little bit this year and be a little more aggressive unfortunately it included layoffs some minor, minor plant closings by minor I mean smaller plants where we had some products that were at one point quite strong in those facilities, of course, now had slowed down. So we had to look unfortunately be more aggressive on the employee side in the first quarter and that was reflected in the $2.2 million. So we’ve moved on from just material orientation to material and direct labor cost. It will continue, I think during - being aggressive and controlling our costs for the rest of the year as we do not see at this point a huge uptick although we do think that it will be a steady year, but certainly one in which we will have to control our cost to manage our cost, we’ve done in the past and we’ll continue to do it now.
Matt Koranda: Okay very helpful, Dave. One last one from me, in terms of the - I believe it was in the commercial construction markets you guys called out maybe price sensitivity increasing during the quarter and maybe just wanted to see if you could elaborate a little bit on what you guys meant by that and what you’re seeing in that market in general for the year?
David Langevin: The overall prices have been very competitive whole last year and certainly going into this year. Last year as I mentioned several times, the competition was the used market, because we had as Andrew mentioned in his remarks, we had a number of used equipment coming into replace the growth that we were seeing on the non-energy side. But seems to have well it’s really difficult to try to monitor that, because of it’s such a large market. But certainly if you look at a large public auctions, the amount of all type of equipment going into those auctions has come down this year compared to last year. And so now the results are just that pricing competition, we are very good competitors, so it’s not anyone acting irrationally. It’s just a result of the fact that you have a lot of competition going after every opportunity. So it’s just a very competitive pricing standpoint, which again leads us to control and we can control which is our cost side.
Matt Koranda: Got it, okay. I will jump back in queue here, thanks guys.
David Langevin: Thanks Matt.
Operator: Our next question will come from Mike Sulewski from Seaport Global.
Mike Sulewski: Good afternoon, guys.
David Langevin: Hi Mike, hello.
Mike Sulewski: So following up on that last question, on the last two questions. Is it fair to say that your current year it’s going to be a flattish year on top line perspective. And but given the cost cuts you use to see is some minor EBITDA improvement, that is kind of to case?
David Langevin: Yes, what we stated several weeks ago at the - on our annual call is that we are hoping for a flat to maybe slightly improved sales line for this year and obviously a modest improvement on the EBITDA as we continue to tap cost. So I think you’re exactly right Mike.
Mike Sulewski: Okay and from a seasonality standpoint also typically in previous years, most years Q2 is often better than Q1, is that similar here this year or is there anything we should be aware of in Q1 that might affect that?
David Langevin: What I said in my remarks was I thought Q2 would be very similar to Q1.
Mike Sulewski: So you stick with that okay.
David Langevin: Yes.
Mike Sulewski: No problem. I guess the other question is, back on the used markets again, give us sense that what’s - that was coming to that market is also an older or worse condition, it’s not just about the volumes but it’s also about how can those units are up for auction substitute for something new has that changed?
David Langevin: Yes, I think, that has changed, we discussed it on our annual call couple of weeks ago, the January, February auctions again these are the large public company auctions that you and anybody else can go and look at where these being sold and those auctions as it relates to our type of products. And it appear also was less of the relatively new with very few hours in some case with no hours, so the units were getting older units and that - the only other auction that we looked at was here in Chicago in March, which also was a public auction and in that case, the units were older and that was very few of them and in fact again the type of products that we participate in. So it seems to us that now it’s the situation that you harvest we all know, capital goods purchased these are being postponed, are being - buyers are very hesitant to purchase. They’re renting more, participating more on the rental market. So there’s some changes because of the fear that the fear factor that you have, because of unknowns throughout the world, while we don’t see it as a disaster, it’s just something we all have to be aware of which I’m sure you’re aware of because of the many companies you follow on the capital goods markets.
Mike Sulewski: Sure. Great, thank you very much. Appreciate it.
David Langevin: Thank you, Mike.
Operator: And next we’ll take a question from Kristine Kubacki with Avondale Partners.
Kristine Kubacki: Hey good afternoon, guys.
David Langevin: Hi Kristine.
Kristine Kubacki: I was just wondering on the input cost side obviously we see in steel and that type of stuff accelerate, how are you seeing things and should we any expect any pressure from that as we move through the year if things continue?
David Langevin: Thank you, Kristine. Yes it’s hard to judge because again as you know steel over the last few years have been driven up and down depending on China, and I just don’t see how that’s going to be a big driver this year. And I know from our discussions, there are purchasing people and we specifically Andrew and I preparing and then following our company and then evolving our company of really we've really followed these prices and we just haven’t seen that on at all level on the steel side.
Kristine Kubacki: Okay. And then I was wondering if you could give a little color about the ASV rental fleet expansion. What are you seeing out there that gives you comfort to do that, and just what are the opportunities?
David Langevin: Which is on ASV rental or on our home rental fee?
Kristine Kubacki: Well if you look I guess in the press releases, can you talk a little bit about the rental then - rental operations?
David Langevin: I apologize Kristine is this something that you’re referring to Andrew, I’m missing.
Andrew Rooke: Yes, I think the question Kristine have me hopefully to interpret. There is two elements really to What’s going on, one is the development of our rental fleet. And then I think secondly within the ASV operations, we’re getting new product ready for specifically for the rental markets, not a rental fleet, but that’s to sell into rental type operations. But we haven’t had a product that’s really doing well suited to that for quite a while, we’re very excited, we’ve got a nice product out there that we think is going to be very attractive to the rental operations for the ASV product and you’re looking forward to you’re starting to see some of the success from that. Then the other side is that is the crane rental fleet that is the other piece.
Kristine Kubacki: Okay, okay that is good. And then just my last question is and this may be more theoretical I mean, on ASV given kind of what’s going on with Terex and some of the possible outstanding opportunities that they have with Zoomlion, do you expect that relationship would it change, if they were possibly acquired?
David Langevin: We don’t know.
Kristine Kubacki: It’s okay.
David Langevin: It’s a very difficult for them to discuss what was the other at this point, so as Andrew referred to we are just really expanding what we can control, which is our own ASP distribution and as we stated, it’s becoming more important and that’s really the strength and the future of the company ASV was a wonderful brand. And it’s on right for a number of years and it is very well accepted and it’s the wonderful product currently and so we’re just doing everything, we can to make sure that we have a company that can stand on its own regardless of what happens to our joint venture partner.
Kristine Kubacki: Okay very good. Thank you very much for the time.
David Langevin: Thank you, Kristine. Thank you.
Operator: Our next question will come from David Raso with Evercore ISI.
David Raso: Hi, good afternoon. Quick question on ASP, I’m just trying to better understand the organic growth. You mention obviously under to drag the comp but when you say 9% increase in sales of machines. I’m trying to understand how much of that pipeline sale versus, say core growth is. You comment that, you almost had 20% more distributional locations in North America just in the end of the year. But I was trying to get a feel for how much for that pipeline sale and how much of that takes same store sales kind of growth on the machine?
David Langevin: So that the reference to the increase in sales was from a total perspective, so overall distribution channels, that’s -- that was the 9% that we were talking about. The sale of ASV branded products that obviously is through the ASV distribution, which we are expanding as we said we got back now out to somewhere in the region of 119 in accounting locations. And what that has meant is that the ASV branded products as a percentage of the total revenues is also increasing. I think the city went up to 50% of the sales in the first quarter. So you’ve got two or three items that are moving there. With regard to sort of, if you like pipeline sale or anything like that, I mean each of these locations there, their initial stocking orders are generally not huge, it’s not a case of having a significant amount of inventory in the pipeline or sitting on the floor for those people where a lot of these things are wielded at a pretty fast clip as they start to retail them out. I don’t have and we don’t have that information other than the, we do see already repeating orders coming through from the new dealers that we’ve set up. And I think we indicated that we had something like a 20% increase and the last time we’ve talked in dealers ASV branded dealers. So, obviously those sales in the first quarter were going out to those new dealers. And some still have some initial stocking orders to be fulfilled, so it’s a bit of a mix. But I hope that sort of covers the sort of three key areas that we’re trying to focus on here.
David Raso: Well, I guess it to be some more right up there, would you say machine sales were up X any pipeline sale at all others incremental ASV branded distribution location?
David Langevin: They were up 9% year-over-year, correct.
David Raso: But I’m sorry.
David Langevin: On a like-for-like basis.
David Raso: It’s a like-for-like. Okay, so I just want to a sort of maybe, I don’t fully understand the under carriage comp rest of the year. But your comments about the crane order book right and then also even the ASV made some comments for the end of the quarter you felt better. In the first quarter sales we’re already up a little bit. So I’m just understand why do you tell the full year is only going to be flat, just try to understand me, it’s a little bit of…
David Langevin: We’re trying not to be too old, too exuberant and just -- it’s one quarter, David, so just one -- it’s not a reflection of the entire year, and then obviously we’re very hesitant because as you know better than ours, we’ve had a lot of puts and starts one quarter would be up next quarter be down, so you think, you see a bright light and goes dim, so I mean we’re just trying to not move expectations beyond what we can - what we need to.
David Raso: I can fully appreciate that, I just want to make sure I wasn’t missing something on the track out of the quarter and the first quarter result. Okay. Thank you very much.
David Langevin: No, no David, it’s just trying to not make too much out of it. Thank you, David. Thank you.
Operator: [Operator Instructions]
David Langevin: No further questions Melisa?
Operator: [Operator Instructions] Our next question will come from Jeffrey Long, Tuxedo Road and Associates.
Jeffrey Long: Hi Dave.
David Langevin: Hi Jeff.
Jeffrey Long: I’m going to ask you something Dave, you don’t do normally. And that is to speculate. If we were to see the congress in the United States finally address the infrastructure issues. Do you think a Manitex in particular order and the industry in general is physically prepared in terms of capacity and labor force to be able to address any significant increases and infrastructure spending if it occurs during the course of this year going into the first couple quarters of 2017.
David Langevin: Unfortunately for us as you will know Jeff we’re variable cost company, we flex up and down with our directs depending on what’s happen we’ve been able to obviously with our straight mast crane companies which is the ones that we’ve had most experience with knuckle crane is and a capacity there is something that we’re learning, as we gain further knowledge on their capabilities. But I’m sure that in the North American markets we can flex significantly we have very significant capacity and so, we’re not constrained at all. That would be a great challenge for us.
Jeffrey Long: Well we needed.
David Langevin: Yeah, I know. Thanks Jeff. Thank you.
Operator: And next we’ll take a question from John Serafini, Private Investor.
David Langevin: Hi, John.
John Serafini: Yeah, gentlemen, David nice to have this talk with you.
David Langevin: Thank you.
John Serafini: Question for you, are you on plan, would you say with the knuckle boom rollout and penetration, I mean is it sort of unfolding as you would hoped.
David Langevin: Well, we’ve mentioned in our remarks was that we’re concentrating on that. We’ve lot and played over the last 12 months with the ASV and the PM and just some of the organizational changes and obviously with the markets. And now that things are starting to -- we still have a lot on our plate, but was never that we're really concentrating on because obviously the growth of Manitex going forward that margins that are capable within the knuckle cranes to markets that are very robust on the knuckle side, this is really what we have to put our efforts. And so we’re really as we said in our remarks, really concentrating over the next rest of this year to really focus on growing that we’ve got more locations, we’re got more people appointed, we were somewhat hesitant obviously to had bodies as we were trying to figure out what the markets and what the year was going to look like. But now we were in a position with our profits and our expectations that we can really put some effort into growing that area so, it’s something that we’ve, we were up last year to $13 million in North America with knuckles and we obviously hope to exceed that this year.
John Serafini: Okay that’s great. Yeah, I’m sorry I may have joined the call little late, so I didn’t hear the whole.
David Langevin: No, no problem John. No, it’s a good question. Thank you.
John Serafini: It’s on plan and you’re optimistic about how the roll out is going, if it takes a little longer than so, what and I mean along as you get there that I’ll be very happy so, congratulations.
David Langevin: Thanks and we’ll get there.
John Serafini: Yep.
David Langevin: But we got there. Thank you.
Operator: Our next question comes from Andy Casey, Wells Fargo Securities.
Andy Casey: Good afternoon, David, how are you doing?
David Langevin: Hi Andy, fine thank you.
Andy Casey: I just wanted to go back to the straight crane, slight order improvement that you’ve talked about, how does that compared not so much of last year, but how does that compared to normal seasonality Q4 to Q1?
David Langevin: We haven’t had a lot of which you would call normal seasonality over the last few years obviously we work off a backlogs and we were significantly likening last year was like 2009 year so, I mean it was really bad. And so, I guess, where you’re coming off of some pretty low bottoms but it was really good to try to see finally some uptick and an order activity in the first quarter. So it is little bit equity we’re describing although back with Europe, you’re seeing increases but you’re seeing increases often some very low comps and I think the same thing is true but it’s just really good to start to see some activity again.
Andy Casey: Sure. Thank you.
David Langevin: Thank you, Andy.
Operator: At this time we have no further questions in the queue. And I’d like to turn the conference back over to David Langevin for any closing or additional remarks.
David Langevin: Thank you Melisa and thank you everyone for your interest in Manitex International. I look forward to future calls and progress for the year. Thank you.
Operator: Once again that does conclude our conference for today. Thank you for your participation.